Operator: Hello, and thank you for joining us in Garanti BBVA's 2023 Financial Results and 2024 operating plan guidance webcast. Our CEO, Mr. Recep Bastug; our CFO, Mr. Aydin Guler; and our Investor Relations Director, Mr. Handan Saygin will be presenting today. [Operator Instructions] The presentation will now start. So I leave the floor to our presenters.
Handan Saygin: Good afternoon, everyone. Welcome to our 2023 year-end earnings call. This past year, characterized by extraordinary challenges has truly tested our strength and resilience, yet our solidarity and unwavered commitment to excellence led us to achieve once again outstanding results. Before delving into the specifics of our performance, I will begin, as usual, with a brief macro overview of the broader macroeconomic environment. As a recap, monetary tightening continues in order to rebalance the economy. Given the gradual steps so far, domestic demand is slowly cooling down. In the very short term, fiscal policy will be key to determine the pace of adjustments. We have also started to see the positive signs of foreign capital inflows, which will contribute positively to the growth outlook. We expect 2024 GDP growth to be 3.5% with domestic demand decelerating further and net exports contributing much higher. We forecast consumer inflation to slow down to 40%, 45% range by end of 2024, given the recent improvement in inflation trend and enhanced likelihood of keeping a stable currency. In 2023, excluding earthquake spending, budget deficit was 1.7% of GDP, far below the master criteria of 3%. We expect fiscal prudence to continue to help the targeted disinflation path. We also foresee the current account deficit shrinking down to $30 billion, $35 billion for year 2024, expecting ongoing favorable conditions for its financing. Before getting in the numbers, the summary is basically our core banking revenue driven net income generation capability. Our distinction contrary to what market expected as Garanti BBVA, we could sustain the quarterly growth in earnings also in the fourth quarter. With 23% quarterly earnings growth, fourth quarter earnings reached a new record level, TRY 29.3 billion. With this, our 2023 earnings totaled TRY 86.9 billion, suggesting a 49% EPS growth for year 2023. These figures include the free provision reversals we have done throughout the year. However, even when adjusted, it does not distort the main story of consistent growth in quarterly earnings. Return on average equity for the year ended to be 45% versus our operating plan expectation of above 28%. Thankfully, we could outperform our budget in a significant way. Even if we had not reversed our free provisions in the year, our return on average equity would have been still significant 41%. More importantly, the bulk of the earnings is what we call are of high quality. High-quality revenue generation capability, meaning core banking revenue generation remains to be our inherent strength. Even in a year of rising interest rates and heavy regulations that led to significant increase in funding costs, we could offset such a downside with higher growth in fuel trading and net fees and commissions. Our core banking revenues, even in the year of shrinking core net interest income could surge by 47% year-on-year. Trading income boost was driven largely by the high FX buy and sell activity, especially in the first half of the year. While the net fees and commissions boost was from the extraordinarily high rise of the payment systems business as well as the high banking transaction activity in the year. High-quality earnings is the natural outcome of our strategy of growing assets via customers. Performing loan share in assets make up the majority, 54%, whereas securities share, including some limited regulatory-driven fixed-rate security additions and CPI linker approvals remain at 15%. Tightening measures of the new economic administration hit the second half of the year with a pace cut in Turkish Lira loan growth. In the fourth quarter, given higher interest rates, quarterly Turkish Lira loan growth was limited, 11%, bringing the year-to-date growth to 59%, a level that is slightly above the average inflation guidance. With that, we likely sustained our #1 position in Turkish Lira lending. In 2023, contrary to the sector trend, we took the opportunity to grow our foreign currency loans and met the growing demand in this stabilized currency environment. You can see on this page that the lower growth pace in Turkish Lira loans, especially in business and credit cards, whereas relatively higher growth was booked in consumer lending, namely [ lucrative ] general purpose loans. Our Turkish lira performing loans reached TRY 751 billion as of the year-end. During the year, we could further strengthen our leadership in Turkish lira loans, particularly with market share gains in SME and commercial lending. On the consumer side, as we insisted on reasonable pricing, we had at times intentional market share loss to defense margins. Similarly, in credit card business, even though the year-on-year growth seems -- is an astonishing 117%, the credit card business growth in the sector was even on higher, 136%. Ours was actually a natural demand-driven growth given our leadership in credit cards, yet we were not too concerned with our market share loss in the year from the comparatively lowest yielding business. You may recall that the credit card rates were exceptionally low for most of the year and only in the last quarter, it got to a reasonable level. Moving on to the quality of the total loan book of TRY 1.3 trillion, 88% is Stage 1. TRY 130 billion or 10.3% is Stage 2; the noticeable drop in Stage 2 even in a currency adjusted manner relates to 1 big file that used to be under prudence under Stage 2, just define its upgrade in staging. Yes, the coverage for Stage 2 has been further solidified at above 21% level. As for the NPLs, they make up 2% of the total, you can see on the next page that the net NPL inflow in the quarter suggested some normalizing trend. More than half of the new NPLs in the last quarter relates to retail and credit card portfolio as expected upon the end of the cheap funding period. The rest related to the wholesale portfolio with 1 big file in construction sector. Thankfully, this file at Garanti needed only minor provisioning as it was already highly covered while in Stage 2. Our total provisions on balance sheet, including the written-down portion, is TRY 69 billion or TRY 68.8 billion to be exact. This is the highest provision level in the sector and represents a total cash coverage of 5.4%. On the next slide, you can see how this translates into cost of risk. Net cost of risk as of the year-end ended to be exceptionally low. It's been far better than our operating expectations -- operating plan expectation of around 100 basis points with only 61 basis points. And this figure is even after including the provisions relating to the earthquake. This is far better net cost of risk, it's not only due to the low NPL inflows during the year, but also is owed to the exceptionally strong collections performance in the year, given the highly liquid low interest rate environment of the first half. Fourth quarter though started giving signals of normalization, especially in the absence of such high collections performance. On the funding side, as it has been our historic legacy, we actively managed our funding structure to deliver superior margins. Deposits alone funds 3/4 of the assets and 40% of this is demand. Despite the high interest rates, the high rate of demand deposits remains to be the key financial differentiation in terms of margin outperformance. Borrowing's share in funding assets, on the other hand, stands at a low 6.5%. Total external debt is now $4.1 billion. And you can see the breakdown of our foreign debt in the pie chart on the right-hand side. Securitization make up nearly half and 21% of the external debt is in the form of syndication. 100% of the new issuances since 2021 has been ESG linked and now ESG-linked funding makes up 28% of total wholesale funding. Of the total foreign currency debts of $4.1 billion, $1.4 billion is due within the year. Against that, we had a quick -- foreign currency quick liquidity buffer of $6.3 billion as of the year-end. In line with the regulation, liraization efforts continue throughout the year. There was 17% growth in Turkish lira time deposits bringing the year-on-year growth to 134%. In this period, foreign currency deposit shrinkage of Garanti, though was a limited 4%. Regarding demand deposits, Garanti continues to lead in customer demand deposits share in total with 41% versus the average of private peers of 38%. This presents comparatively high funding advantage and manifests itself in our superior margin performance. The rising interest rates and audit regulations took funding costs even at higher levels, while loan yields, even though they were at relatively more sensible levels were heavily regulated. This caused further pressure on spreads and of course, on margins. Accordingly, the core margin adjusted with the foreign currency protective deposit scheme, additional remuneration was down by 94 basis points in the quarter and by 334 basis points on a cumulative basis year-on-year. CPI impact on margin was positive in the last quarter, as we did the adjustment for the actual CPI reading that came in 62%. This meant significant adjustment versus the 48% relative CPI estimate that we had used in the prior valuations. Moving on to the performance in net fees and commissions. We could grow our net fees and commissions by 37% in the quarter and 140% year-on-year. Payment Systems business contributed the highest to this well above the projection performance with a growth that was almost twice the pace of other fee businesses. This exceptional performance in payment systems is owed to the rising interest rates and also was a natural outcome of our #1 rank in both issuing and acquiring volumes as well as us serving the highest number of credit card customers. Other contributors to this robust performance are definitely the strength in relationship banking and digital empowerment contributing to not only to grow our active customer base, but also penetrate further the existing customers. Our mobile active customers are now near 15 million and digital sales in total reached 90%. Our leadership in Turkish lira cash and noncash loans manifested itself with 83% increase in lending-related fees. Brokerage and asset management fee growth was also at amazing 113%. Owing to customers using us as their main bank, our money transfer fee growth was also well above expectations at 98%. Our well-diversified fee businesses signals the sustainability of Garanti's superior fee generation capability. As for the operating expense performance on Slide 16, quarterly operating expense growth was 21% and annual growth was at 103%, suggesting that we ended the year in line with our guidance even with the impact of the earthquake and currency. 3% of this annual growth was due to the earthquake-related donations and 11% related to the currency with that impacted the bottom line and the FX portion of operating expenses gets fully hedged with Garanti. Thus, the adjusted figure is actually 89% suggesting our cost conscious and real outperformance in cost management. Looking at our best-in-class efficiency ratio, cost income was 35%, fees coverage of OpEx was 78% and operating expenses and average assets was 3.2%. As per capital, it remains strong as net income compensated for the negative impact of FX and market risks. Without the BRSA's forbearance, our consolidated capital adequacy ratio was 16.5% and core equity Tier 1 was 14.5%. The foreign currency sensitivity on our capital adequacy ratio is that for every 10% depreciation, it is 37 basis points negative. In summary, wrapping up the year, we were able to outperform our 2023 guidance by delivering a return on average equity of 45% versus our above 28% operating plan expectations. This significant pressure on margins due to increase in funding costs and heavy regulations was more than offset with exceptionally low net cost of risk, super performance in fees and trading income support. We are thrilled to see the reflection of this outperformance on our share price performance, which increased by 33% in dollar terms, outperforming the banking index by a significant 21%. With that, we finished the year as the most valuable bank in Turkey. These outperformances are very meaningful for us, especially in the year, marking the 100th anniversary of our Republic. We are more motivated than ever to continue creating value for all our stakeholders. Now, time to give you our 2024 operating plan expectations. For year 2024, we expect a Turkish lira lending growth around CPI, would suggest a slight slowdown compared to 2023, parallel to the ongoing monetary tightening and expected economic slowdown. More color around growth expectations is that we expect a pickup in pace in the second half and projected growth to be a balanced one across business and retail within the framework of regulation. We project a low single-digit growth in foreign currency loans this year, as we expect demand to pick up. On the cost of risk side, as I have mentioned, we had an exceptionally low cost of risk year behind and fourth quarter 2023 inflows suggested some normalizing trends. Accordingly, we expect normalizing net cost of risk at around 125 basis points by 2024 end. On the margin side, we will aim to manage the total margin flat year-on-year. There will most likely be a decrease in CPI contribution given the lower CPI expectation for the year. We project the core margin side, though, to largely compensate for this drop. On the fee and OpEx growth, our guidance is that the growth in both of these items would be above CPI due to the rollover effects actually above average CPI due to the rollover effects for operating expense and normalizing fee growth. These all should suggest a return on average equity for the year that is in the mid-30s. Please keep in mind that these expectations are built on the assumption that the current regulation will remain intact and no new regulations will be introduced. Any change in these may lead to either an upside or a downside on the guidance. In conclusion, these are the messages we wanted to share with you. It is now time to take your questions. Thank you for listening.
Operator: [Operator Instructions] Our first question comes from Waleed Mohsin.
Waleed Mohsin: Just a few questions, please. First, on your margin guidance for 2024. Handan, you mentioned you're looking at flat NIMs, including swap costs and the impact of CPI linkers. Perhaps you could walk us through the trajectory that you expect on the core spreads, which will help offset the CPI linker income pressure. That would be extremely helpful if you could kind of explain how that would balance the impact from CPI linkers? And what kind of impact are you expecting from CPI linkers which will be offset by the core spread expansion? That's the first question. Second, you mentioned and we saw it during 2023 as well, selectively growing the FX loan book, and you've guided for low single-digit growth. If you could talk about the sectors where you're seeing opportunities, what's giving comfort maybe some thoughts around pricing as well on that book -- that would be extremely helpful. Third and final question on asset quality. It seems quite robust. And your guidance of 125 basis points for 2024 seems to be more normalization from a very low cost of it in 2023. Any particular sectors that you're seeing stress? You talked about 1 particular file within the construction space. It largely seems to be a one-off, but have you seen any impact of higher rates so far on any sectors other than retail?
Recep Bastug: Thank you, Waleed. Regarding cost [indiscernible] the first question. As you remember in our last call, we announced that net interest margin would improve that it deteriorated because of the regulation. And that deterioration will continue in the first half as well. So -- but then starting with the second quarter, third quarter will be better than second and fourth quarter will be better than third quarter. So consecutively, there will be a recovery improvement in the -- related with the net interest margin. So we think that it will help us to recover what we are going to lose from CPI linkers. So we will offset it with our spread management, with our net interest margin improvement. The second question, FX loan, yes, even though we announced to you that we didn't want to grow FX loan in 2023. Unfortunately, the regulation killed our margins in TL sides, but there were very strong margins in foreign currency loans. As we granted those loans to companies who had foreign currencies revenues, we were comfortable. That is the reason we grew reasonably and in 2024, we think that there will be opportunity in the market in terms of foreign currency loans. It will not be a huge increase. But again, we think there will be opportunities for us to grow. But as I underlined our focus area, focus sector are mainly exporters and companies who has foreign currency revenues. The third one, asset quality. This year, 61 bps cost of risk is extremely low, and normal cost of risk according to our calculation should be in between 100 and 125 bps. So 2024 will be the year which 100 bps, 125 bps level, that will be a correction. That correction will come from retail and payments, retail and unsecured retail loans and credit cards. Wholesale, I think, will be similar to this year, maybe a little higher than this year, but real increase, we are expecting from retail and payment. So all in all, 125 bps is a sectoral approach will be a normal year for Turkey. It will not disturb our capital adequacy ratio. It will not change the picture in the negative side. So we are comfortable with that level with this normalization.
Operator: Our next audio question comes from Konstantin Rozantsev.
Konstantin Rozantsev: I had 3 questions that I wanted to ask. The first question is on the lending growth. So could you please comment how effective are the monthly lending growth limitations, which introduced across various types of loan products for the banks. So it seems to me that  recently private banks have a segment? And what shows from the Garanti's clear guidance, it seems like loan growth in Turkish lira is expected to be in excess of these limitations, which introduced on monthly, but so an extrapolation for the whole year. So could you please comment -- are these limitations not effective? And how are banks managing themselves kind of relative to these thresholds? The second question is about the trends in the rates on the conventional Turkish lira deposits, term deposits. Where do you see the rates on these deposits stabilizing in the coming periods? And the last question is about the FX protected deposit scheme. So what trends have you been observing with this scheme in the past 8 months or so? And with respect to the FX portion of that scheme, how quickly is that portion being unwound? And what is the trend?
Recep Bastug: Thank you, Konstantin. With the lending growth subject to regulation, we are going to be in line with the regulation. There are some areas which is out of this regulation, which is export loans and some specific sector. Those zones are out of limitation, but they are going to be in line, maybe a little higher, but in general, they are going to be in line with the limitation in all our budgets and expectations on this perspective. The protected scheme. As you remember, the total amount of the protected scheme in 2023 reached $240 billion level. Now it has come down to $85 billion levels. As the foreign currency is stable, the conversion rate of the protected scheme to TL deposit has accelerated. So the average conversion rate is around 15% in the banking sector. So if this trend continues on this way, I think that in the middle of the year, all sector and Central Bank will be in a comfortable zone in terms of -- there is protected scheme [indiscernible].  So it is very correlated with protected scheme and TL deposit stabilization. Yes, it is true, market has reached to a reasonable level, which is in line between 52% to 54% level in the TL cost of deposits. So it is very correlated with protected scheme. As these rates are attractive, protected scheme is going to be converted around 15% levels. With this trend, I think without having any problem, we are going to handle this issue in the middle of the year.
Konstantin Rozantsev: Understood. And do you have some high-level guidance, how much time would it take for the scheme to be fully unwound at these levels of conversion. You may mentioned, but could you please repeat this expectation?
Recep Bastug: I think fully to clear it to the end of the year at least because now we have some deposits in our portfolio up to 1 year. So as the time passes, the numbers are getting smaller, but to clean up everything at least 1 year. But as I said, every month, 15% conversion, so it makes a very reasonable amount. So within 6 months later, the problem will be very, very negligible to me. If we continue to convert existing amount around 15%.
Operator: Our next question comes from Mehmet Sevim.
Mehmet Sevim: Just 1 question on -- as a follow-up to Waleed's question on core spreads. Do you think that the worst is now behind us? Or where would you see the trough in TL core spreads as we go into 2024. Also, could you kindly tell us what kind of CPI linker valuation you're using in this guidance right now, I would assume it's maybe 40%, 45% levels. If you could confirm that would be great. . And finally, just as a follow-up to the FX deposit protected scheme question and your answer. What makes you comfortable with the 15% conversion rate and that it continues at this level. Would you see risks to it given the remaining FX deposit -- the deposits were mostly originated from FX accounts. Or would you be ready to offer higher rates to those depositors? Are you feeling any resistance from them? Maybe any kind of color on this would be very helpful. Thanks very much.
Recep Bastug: Thank you, the first one is TL deposit, as I said, TL deposit is around 42% to 44% level. The lending rate is around 48% so that is 6% positive difference. So in terms of NIM management, now we have been recovering what we lost in the last quarter. This quarter, we will be also under pressure but it will -- it will be in a better position in the second quarter. Day by day, we are improving. We are better than -- we are not better now. We are worse than the last quarter of 2023, but it will not be negative. It will be on positive side. But second quarter, third quarter, fourth quarter, consecutively it will go up, it will be improving. So the core NIM, maybe this always we have been proud of saying that in terms of core NIM management under risk circumstances, we are in the positive era, improvement is going up. The second one, our CPI linkers valuation. I think when you are asking the question, you gave the answer; 40% is that existing valuation percentage. The third one, up until now, up until now, with this 15% conversion rate, we didn't have too many difficulties. As we are offering reasonable rates to the deposit owners, they are ready to convert it. We don't offer them crazy rates in order to convince them to convert their money, because as the country gets stable, as the economic condition gets stable, foreign currency doesn't fluctuate a lot, they get comfortable, they are volunteered to convert their money with this rate. So I don't see any problem under the circumstances. We don't need to push. We don't need to convince them with crazy rates. So you can see it in our cost of deposit rates in the coming quarters.
Operator: Five minutes for the next question.
Recep Bastug: It will be too late to wait for my colleagues to give me the question. I'm asking the question. I'm going to answer the question, what is our macro assumption? This is the question? Our GDP growth expectation is around 3.5%. Interest rates, this is a policy rate. It is around inflation, then year-end inflation according to our expectation will be in between 42%, 45% levels. And the last one is currency. Our expectations is in line -- expectation is in line with the medium-term plan. So 43% evaluation to the year-end is doable and reasonable targets for us.
Operator: I leave the floor for our closing remarks, Thank you.
Recep Bastug: Thank you all for your participation. In 2023, macro prudential measures and regulations shaped banking sector balance sheet with the current protected scheme at the main focus. In the post-election period, the simplification of policy, the predictability of exchange rate and the interest rate enhanced confidence and perception of foreign investors. The absence of election in the country for 4 years after March supports our expectation that policies to combat inflation will continue to be implemented. In a challenging year as 2023, we are proud of announcing another set of great results. As we look ahead to 2024, we will demonstrate Garanti BBVA's remarkable distinction yet again. We will be happy to meet you again at our next earnings call.  Have a great evening.